Kristian Johansen: Good morning, everyone and welcome to TGS Q4 2022 Earnings Release. My name is Kristian Johansen, I'm the CEO of TGS and with me today, I have our CFO, Sven Børre Larsen. So, I’ll give you a chance to read the forward-looking statements before I go to the first slide of the presentation, which are the highlights from Q4. So we had total POC revenues of about $227 million in Q4. That compares to about $120 million in Q4 of 2021. I’m particularly pleased about our late sales that grew from about $136 million or grew $236.6 million in Q4 this year, or in 2022. That compares to about $53 million in Q4 of 2021. We had early sales of about $31 million as compared to $55 million in Q4 of 2021. And last but not least, Magseis Fairfield was consolidated from October 11th and contributing to about $54 million to revenues after the Intercompany Eliminations due to working for TGS in that period. The EBITDA based on POC was about $151.4 million and that compared to $84 million in Q4 of 2021.  We continue to have a robust balance sheet, we have cash, net cash of about $188.5 million. And that's despite being very active in the M&A market during the course of 2022. Strong contract inflow, we have about $283.4 million in Q4 of 2022. And that compared to about $162.8 million in the same quarter of 2021. So it makes me really optimistic about the future and we have a financial guidance for 2023 that I think surprised most of you quite positively, we're increasing our multi-client investments to a level of between $320 million and $350 million. In addition to that, we see POC early sales rate above 70%, you could probably assume that 70% is pretty much committed. So you can see that as a minimum funding for our projects for 2023. And then in addition to that, we keep our dividends at about $0.14 per share per quarter for 2023. So again, very pleased about the quarter, obviously, a very strong, late sales figure. But what probably excite me even more is all the new projects that we've signed over the last couple of months. And you saw this morning as well that we announced a couple of new projects for TGS. So if you look at the highlights in more detail, I want to start with a Magseis Fairfield. So the acquisition of Magseis, we've reached about 75% ownership back in October of 2022. And then we got to the 100% ownership in early January 2023. Magseis will become a separate business unit in TGS, responsible for OBN, but also all other acquisition related activities, meaning that we move our operations department into Magseis and that business unit will now be headed by the EVP, Carel Hooijkaas, who is the former CEO of Magseis. So we're very pleased to welcome Carel to the team, and also pleased about the integration process that is actually ahead of plan. We have a cost synergy potential that we have increased from the initial range of between $7 million and $9 million. And we will see a full run rate of that to be realized towards the end of 2023. And again, just to highlight the transaction rationale that we have talked about in the past that we see great benefits by owning my size and these booming markets. So number one, we secure access, of course, to the best-in-class OBN technology. It allows TGS for a strong position in ILX areas where you see significant growth as we speak. And that goes with multi-client proprietary and 4D. And you've probably seen from some of the recent contract announcements that we had -- that TGS is now in the 4D market. We're in the proprietary market for OBN and we obviously as stronger than ever player in the traditional multi-client space, where you see TGS is now capturing also a very strong position in ILX areas. We see cost synergies and we see efficiency gains from stronger utilization. In fact, we actually struggled to get capacity because Magseis is pretty much sold out. Meaning that this summer we will acquire to projects in Norway with a third-party vendor because Magseis don't have capacity to serve TGS internal needs. This will also further enhance our position in OBN processing. It's been a high priority for TGS to develop algorithms and technologies within our processing team to allow for continued growth in OBN. And then last but not least, it will improve our exposure towards energy transition related industries like offshore wind, CCS, and deep sea minerals. So very excited about the acquisition of Magseis Fairfield. Again, the name will change to TGS. They will be a separate business unit within our acquisition group and very optimistic about the future for both the former Magseis for their employees and obviously for TGS with a stronger product portfolio. So we got a long list of recently announced projects. As I said, we announced another two projects this morning but it's been quite hectic for business development teams over the past few months. And I'm just extremely pleased about all the hard work they've done and, and really mean it -- making sure that TGS stays on top of this industry. So if you start on the Western Hemisphere, we had a new onshore project announced in the Permian. Permian is coming back although relatively slowly, we don't see a big boom coming up. But we finally see seismic expanding starting to increase. I'm very pleased about that. We get two OBN projects in the US Gulf of Mexico. Last one was announced this morning. We have a project in Santos, a 3D in Santos and other 3D in Foz do Amazonas and the equatorial module where we see great growth and future prospects. We have a lead processing project in Uruguay. We have two OBN service in Norway plan for the summer they are both multi-client and we have a multi-client 2D survey in Bangladesh and now it's quite recently. I'll take you quickly through this projects before I hand it over to Sven. First one is two project two OBN service that we're doing in Norway this summer. It's Sleipner and Heimdall Terrace and you see how they stack up with our existing data library with Utsira and NOAKA. So Sleipner is about the 1,200 square kilometre survey and Heimdall Terrace we're going to acquire before Sleipner is about 500 square kilometres. The surveys and increase a contagious multi-client OBN coverage in the region to almost 4,000 square kilometres and you see how the surveys stack up and just want to say I'm really excited about this because it's this is really a new generation seismic being acquired in a very mature and prospective area of the North Sea. So -- and it also proves the value of OBN. So this area has a lot of traditional 3D seismic and the fact that our clients and are now supporting TGS to go out and acquire OBN on top of that data shows that OBN has an important role to play in mature areas. Norway is a great example. And of course, US Gulf of Mexico is another example. Heimdall Terrace is going to commence in April and then Sleipner will commence in June 2023. Then we have the Santos Sul 3D in offshore Brazil. This covers more than 15,000 square kilometres both open acreage and recently awarded permanent offer rounds blocks located in the southwest Santos basin. And you see that and how it stacks up with all the TGS projects where we have a lot of 3D in the area. We've had great success over the past few years in Brazil. And obviously this just adds to the contagious database that you see from the map. We're doing this in partnership with PGS and acquisition here is scheduled to complete in August 2023. Next one is the Foz do Amazonas. This is a Phase II, we acquired the initial project back in 2013. This is an 11,400 square kilometer project. It's in the offshore Brazil equatorial margin and this is a margin that is really hot. And if you look at Petrobras five-year plan, you'll see that they have plans for drilling 16 wells in this area. And this is really the new salt basin in Brazil where they really tried to find ways to replace all the reserves from the salt basin. So, very excited about the equatorial margins. We're doing this in the partnership with CGG, and I think this data will definitely be instrumental in enabling data for the future permanent offer rounds. You're going to have our early outs PSDM products available in Q4 of 2023. And then we move over to Uruguay. This is a tonne of 3Ds processing that 25,000 square kilometer offshore in Uruguay. Uruguay is another example of a country that seems great interest now from majors and independents all over the world, partly due to their closeness to Guiana. Suriname, you know, that whole margin sees a lot of growth as we speak. And obviously, you look at the conjugate margin, you see areas such as Namibia and South Africa with great exploration success. So, there's many reasons why the industry is now looking back to Uruguay and TGS is fortunate to have a current database there and now we're doing reprocessing on that to make sure that we can serve our clients with the latest and greatest technologies also in Uruguay. Final data products will be delivered in Q3 of 2023. Next one is Bangladesh, we're doing a 2D surveying in Bangladesh. This is a regional scale 2D server. This is more of a frontier area where one of the last areas actually in the world where you still see that there is prospectivity, but there is not a lot of data. And we're acquiring this data together with SLB and we're really excited about potentially opening up Bangladesh as a new area. Great interest. Obviously, there's a population-rich area where they're quite desperate to find oil and gas and make sure that they get independence. They support future license rounds under the soon to be revised fiscal terms, which are widely accepted by the industry. And we already see great interest from industry and quite excited about that acquisition. Commenced in early January of 2023 on the Bangladesh 2D survey, We got the onshore project in the Permian Basin. This was announced late last year and it encompasses about 85 miles -- or square miles in the Mitchell County, this is in the Midland Basin. It's a prospective area where you see a lot of production activity as we speak. And obviously an area that has kept up pretty well, despite the fact that onshore spending has been down over the past few years. Quite optimistic about the Permian, where we really think that we have the right position here. We think this survey will be good. We're also looking at other surveys in the area and it's definitely on the radar screen of our clients are definitely an important area for TGS going forward. file data is here will be available in q3 of 2023. Then has said we have two new OBN awards in the US Gulf of Mexico. And this really show shows that the all the new products that we have and the bigger toolbox that we have compared to what we had about 12 months ago. So, with the acquisition of Magseis, we were really pleased to announce the first 4D OBM survey award for TGS. This is a proprietary 4D survey in Walker Ridge in the US Gulf of Mexico. We plan to mobilize that in Q3 of 2023. And we're going to work there for about 100 days. We announced this morning, and other Sparse Node Survey award is a proprietary survey, it's located in the Gulf of Mexico, allows us to keep the crew there for a long period of time, it's planned to mobilize in Q2, and this has a duration of 100 days as well. We are also pleased to talk about our ESG performance. We usually have a slide where we show all the awards that we've been getting over the years. And I'm really pleased to see that we got two new awards in Q4. One is that, we won the award for the best place to work in Energy in Houston. And that's obviously an extreme pleasure to see that our people are happy and without people happy, I think productivity will increase, and you will see that a happy workforce typically deliver better results. So extremely pleased about the ALLY GRIT Award that we got in late 2022. And then just as pleased to see that we continue to be a member of the Bloomberg 2023 Gender Equality Index. This is a third year in a row, where TGS qualified for that. We one that out of only 24 companies in the energy industry who qualified and only one out of two Norwegian companies who are qualified for the Bloomberg Gender Equality Index. So With that, I want to hand it over to Sven Børre is going to go through the financials and then I will come back and talk about the outlook. Thank you very much.
Sven Børre Larsen: Thank you for that, Kristian. Good morning, everyone, following us online. As always, I will start by going through the revenues. This slide shows the revenue by type and we start with early sales revenues on the top left hand corner. And note that, we now talk about percentage of completion revenue. So we talked about the revenues that are recognized in accordance with the progress on the related projects that we are doing. In Q4 2022, we had $41 million of POC early sales revenues recognized, this is lowered than we had in Q4 of 2021. And that's a reflection of the lower underlying multi-client investments that we had in the quarter. Coming back to that, but we recognize some non-cash risk share related investments in the – in the quarter that didn't have any associated revenue streams with it. On the late sales side, as Kristian already alluded to, we had really strong late sales in Q4, $137 million, which is well above, obviously the $53 million that we had in Q4 of 2021. And not only is the number strong itself, but we also feel that the quality of the number is rock solid. Because the it's made up by a number of different deals, there's not one single deal that sticks out there is no meaningful transfer fees, there is no individual service that contributes by a huge amount and it's fairly well spread out across the regions. So as I said, not only do we think number itself is strong, but also the quality and the way it's spread out on different regions, and different service, and different customers are, is quite an encouraging. Then looking at proprietary revenues on the bottom left hand chart is now obviously includes Magseis Fairfield, We consolidated Magseis from 11th of October, so we do not carry the revenues that Magseis had in the beginning of October. The total proprietary revenues were $60 million in the quarter, which is obviously a huge increase compared to what we had in Q4 of 2021, when we didn't have Magseis Included in the numbers. If we exclude Magseis, we had roughly $6 million of proprietary revenues related to our imaging business, which means that Magseis accounted for approximately $54 million on a net basis. This means that we had total PoC revenues of $27 million -- $227 million, sorry, in the quarter, which is a massive improvement over last year when we had $120 million. Then we are looking at PoC revenues by business unit, starting with multi-client. First a note that in this charts, we have include that the proprietary imaging revenue stream, of which I said, was around $6 million in the multi-client chart. So the $164 million of multi-client revenues include a small portion of proprietary revenues from imaging. The $164 million is, of course, a huge improvement over what we had last year, mainly driven obviously, by late sales in the multi-client business. Then, we are started to report also more numbers on our Digital Energy Solutions business units, which contains, among other all our initiatives towards the renewable industry. And as you can see, it's a fairly stable revenue stream and we show significant growth year-over-year. In the fourth quarter, we have $9 million of revenues related to this, where a significant portion is made up by subscriptions or recurring revenue streams. So, we expect to see growth in this number throughout 2023. And then looking at the data acquisition business unit, which is essentially a Magseis, which as I said, we included from 11th of October. The net contribution from Magseis was $54 million, but if you include the eliminations, it contributed by to gross revenues of about $60 million. Magseis on a standalone basis had approximately $7 million of revenues in the quarter and an EBITDA of close to $15 million. So, a fairly decent quarter for Magseis in Q4. Then, next slide focusing on operating expenses on the top left-hand chart, you can see that total operating expenses amounted to $248 million in the quarter. This includes personnel costs and other operating expenses. So not cost of goods sold, which is associated with the proprietary revenues. This is -- the operating expenses, is of course, significantly higher than the run rate that we have seen in previous quarter due to the inclusion of Magseis. And the Q4 run rate or the Q4 number is fairly representative for the run rate that you should expect going forward as well. It will probably be at a level of plus, minus $50 million split or split buys roughly $25 million to $30 million on personnel cost and $20 million to $25 million and other operating expenses. Also note that in Q1 should expect some one of charges to related to the to the Magseis integration project that we plan to charge to the Q1 accounts. If you look at the PoC, EBITDA, it was very strong in the quarter $151 million compared to $84 million in Q4 of 2021. And this is obviously a reflection of the strong performance by our multi-client business. Then looking at multi-client investments on the bottom left hand chart. We had $56 million of multi-client investments recognized in the quarter. Note that this include non-cash investments of roughly $20 million to $30 million related to an adjustment we have done to past risk share projects in our acquired mostly in our acquired portfolio. And this has to do with that we have changed from recognizing some of these projects on a net basis to recognize them on a gross basis. So $20 million to $30 million of that $56 million is related to this. You can also see that we have PoC the early sales rate. In this chart we had 55% in Q4 of 2022, compared to more than 100% in Q4 of 2021. Over time on an annualized basis, this early says rate has normally been between, it varies quite a bit, but it's been between 55% and 95% in most of the most of the years. Then looking at free cash flow $42 million in the quarter and a full year free cash flow $142 million, which we are quite pleased about, particularly taking into account that we, of course, built up quite a bit of receivables due to the strong late sales towards the end of Q4. Then looking at some libraries statistics or library financials. Note that this is measured on an IFRS basis. So you can see that our amortization in Q4 was $62 million compared $165 million in Q4 of 2021. The amortization in this quarter consisted of $39 million of straight line amortization. This is also fairly representative for the level you should expect going forward. It will probably creep up towards about the 40 million mark in the coming quarters, but broadly in line with what we saw into Q4. Accelerated amortization was obviously quite low in the quarter due to the low recognition of early sales in IFRS, where we didn't complete a whole lot of projects in this quarter, and therefore, we had a low accelerated amortization of only $14 million. And then we have some smaller impairments on certain service that summed up to $9 million. And that all-in-all, gave us this total amortization of $62 million in the quarter. If you look at the net book value of our multi-client library, it increased a bit in the quarter and that despite the low investments and that has mostly to do obviously, with the inclusion of one multiclient survey that Max took over from access. So we stood at $592 million in multiclient library at the end of 2022. This compared to 705 at the end of 2021. If you look at the investments or net book value by year completion on the bottom left hand chart, you can see that the bars represent the historical investment in each of these vintages and the diamonds represent or shows you where the book value of each vintage sit currently in our IFRS balance sheet. As you can see from all the vintages that have been completed, we are the diamond SAR at fairly low levels, meaning that our net book value of the library should be seen as a very conservative value. Then looking at revenues by vintage. As you can see -- as I also alluded to earlier, it's fairly well spread out. We had roughly 20% or 21% from older fully written down vintages, but also that the vintage as of 2018, '19, '20 and '21 and also '22 sold reasonably well. And obviously, in IFRS, we have no revenue recognition of projects that are in progress, so 0% there on the WIP balance. Then going through the IFRS income statement, and here you can see how early sales, the adapter had low LSL, so only $22.8 million in the quarter. And that was of course related to the fact that we didn't complete a whole lot of products in the quarter. There was one particular project that slipped from deliveries have slipped from Q4 into Q1 and that will contribute by roughly $15 million in Q1. So, roughly $15 million was moved from Q4 to Q1 on the early sales in measured in accordance with IFRS. All in all, we had the $219 million of IFRS revenues in the quarter, which is obviously a massive increase of what we had in the same quarter of 2021 due to the to the strong late sales. You can see that cost of goods sold are at $27 million. And this should be seen in context with the proprietary sales. Going forward, we expect this cost of goods sold line to be roughly plus minus 50% of proprietary sales, can see we had personnel cost of $29.9 million and other operational costs of $18.5 million. As I said earlier also, this should be seen as fairly representative for the run rate going forward as well. This means that we had an EBITDA of $143.5 million in our IFRS accounts which is essentially a doubling of what we had in Q4 of 2021. Subtracting amortization and depreciation we ended up with an operating result of $64.6 million as opposed to a loss of $100.8 million in Q4 of 2021. When we also recognized significant impairments of the multi-client library, subtracting net financial items, we ended up with a result before tax of $61.8 million, compared to a loss of $104.9 million in Q4 of 2021. The tax cost is fairly high in the quarter or the tax rate is fairly high in the quarter. But this has to be seen in context, where the tax rate for that for the full year, which is somewhat lower. So, but the reason, the main reason for the high tax rate in Q4 and also for the year as a whole is that we have some tax losses carried forward that are denominated in other currencies than US dollars. And when the US dollars appreciate the dollar value of those tax assets are going down, which we need to recognize that as a tax cost. All in all, this gave us a net income of $42.1 million, compared to a loss of $77 million in Q4 of last year. This corresponds to an EPS of $0.34 cents in the quarter. Then looking at their IFRS balance sheet, you should know that that goodwill obviously have changed in quite significantly in 2022. And that is related obviously to the high M&A activity that you're seeing throughout the year. Magseis has contributed with approximately $56 million of goodwill, whereas the rest of it is related to the to the other transactions where most of it is associated with predictor.
,: Then you will see that other current liabilities have gone a little bit off and this is due to the inclusion of the $45 million of interest bearing debt from Magseis. This is characterized as current liabilities, because when we acquired Magseis, we trigger the change of control clause, the banks waived that change of control until 31st of March, and therefore, it's characterized as short-term debt. But we are in the process now or signing a new loan agreement with the banks, we will sign an RCF $425 million, we will obviously not drill down fully on that, we expect to drill down only $45 million portion, which means that in the next quarter that debt elements should be moved to non-current liabilities. Looking at the cash flow statement, you'll see that – you will note that the net cash flow from operating activities $119 million or $120 million is well below that $151 million. We recognize all that PLC EBITDA, which should tell you that we obviously have built up a fairly, we have a lot of receivables to be collected in Q4. Also, you should note that the investments in the multi-client library, the cash investments in the multi-client library is fairly high in the quarter. And this, as you may remember, it was very low in Q3 when we had high booked investments. So, so this, these cash investments obviously have to be measured over time, and it will jump around a little bit in the individual quarters. And then, you will see that we had on the cash flow from financing activities, we have include that the repayment of lease liabilities from access. So this is related to the vessel leases, leases that make us happy. And all-in-all, we had enough change in our cash and cash equivalents of 8.7, or reduction of 8.7 in the quarter. And this is despite the fact that we paid off $50 million for acquiring Magseis shares during the quarter. We will -- we also paid another $55 million in the beginning of January, which you will see in our Q1 accounts. This meant that we had cash balance, solid cash balance of $188.5 million towards the end of the year. And then this strong balance sheet that we have allows us to continue to pay a dividend, despite the fact that we are increasing our investments massively in 2022. So we continue to pay a dividend of $0.14 per share, which in this quarter corresponds to NOK 1.46 per share on Norwegian kroner per share. And the share will go ex-dividend in one week. And it will be paid on the second of March. By that, I'll leave the word back to you, Kristian.
Kristian Johansen: Thank you, Sven and excited to come back and talk about the market outlook for 2023. So I think the first slide. I mean, there should be no need to show a slide which says that there are signs of continued recovery and seismic spending after you have a late sales growth of 167%. But the fact is that the global seismic market grew by more than 30% in 2022, from relatively low-levels, as you can see from the graph on the on the left hand side. And it's an interesting comparison to look at how the floater market is expected to develop for the next few years and if you assume that the correlation between seismic and floaters and keep in mind that the floating market is about that has about 50% exposure to expiration. So there is a reason for that strong correlation in the past. And if you believe that the correlation will continue for the future. And you believe the numbers for the floaters are correct then, obviously we are looking at a very promising seismic market for the next few years. And you should also when you look at this in a historical context and look back on the good years from 2012 to 2014, where you see the market was way bigger than what it is today, you should keep in mind that the market has consolidated significantly in the meantime. So looking at TGS position today, compared to our position back in 2012, or 2013, we're a completely different company. And we have, we're well positioned now and have leading positions both in mature and frontier regions. We have an extremely broad product offering. We have the world's by far leading 2D Data Library well positioned for recovery in frontier. We have the largest at least modern 3d Data Library, if you look at investments over the past five years, I think we account for about 40%, or close to 40% of the total investments in multi-client, over the past five years in our industry, so of course, the market leading position in 3D as well. We announced the first four day contracts. Last week, we announced an OBN contract in the US Gulf of Mexico. This morning, we have taken significant steps, in terms of improving our imaging reputation and product portfolio there and technical image. We have about 10 million geological data wells, mainly in the US Gulf of Mexico, but it's a global portfolio wells and then, as we mentioned, a leading multi-client library. So it puts us in an extremely good position for the recovery of the market. And again, if you believe in the numbers from ABG, here, and you believe that the floaters are going to continue to grow and see significant growth, double digit growth over the next three years. And you believe that historical correlation with a seismic market is going to continue. Then we're looking at an extremely bright future for seismic and first and foremost, for TGS. And I think that's further strengthened by the next bar chart, which shows the growth in the OBN demand for 2023. So if you look at 2022, this is basically an $800 million market where TG -- everywhere Magseis or TGS now has a market share of about 35% to 40%. That market is already at around $1 billion or slightly above $1 billion in terms of activity expected for 2023. And this is based on signed contracts at this stage, so extremely well positioned for that growth. You also see a healthy growth in terms of -- this is a good regional distribution, you see growth pretty much all over the world. You see, obviously, Northwest European being strong, you see Gulf of Mexico, probably even strong enough, what you see from these numbers with the two contract announcements by Magseis or TGS, over the past week or so. But, again, a very healthy growth, a well distribution in terms of geographies and a very strong position for TGS in this markets. And it's particularly interesting to listen to BP’s earnings call two days ago, when I said that, we continue to drive down unit costs, we continue to drive capital productivity in the wells area. We deployed new technology. Ocean Bottom Seismic now is being deployed widely across our portfolio, giving you a better view of the barrels that remain. And this is obviously music to our ears. And I just think that the timing of TGS entering this market couldn't be better. And we are extremely exciting -- excited about including Magseis into our TGS family. And we think that there are many, many years with great opportunities in the OBN market for TGS to play a key role. We move on and look at the contract backlog and inflow. This further strengthens my message from the previous two slides. You see the acquisition backlog is slightly down in Q4 of 2022, but expected to come up again in Q1 of 2023, because of the new contract announcement of two 100-day projects in the Gulf of Mexico announced over the past week or so in the acquisition markets. TGS backlog has never been better, if you just look at the timescale that we're referring to here. So the last 12 quarters, it's a highest backlog we've reported to the market and then you have the IFRS backlog of contracts that we still not have recognized on top of that. So it means that TGS has a backlog of more than $500 million IFRS as we speak. You can see on the right hand side how the early sales are expected to be recognized according to IFRS, gives you more clarity about the timing recognition of that. And again, if you look at the contract inflow, you saw Q3 was record high, Q4 was not as high as Q3, but it was really good. And as you've seen from my first part of the presentation today, there's been numerous projects announced over the past couple of weeks. That makes us again very optimistic about 2023. It gives us really good visibility in terms of our guidance and means that we are optimistic about the year to come. The OBN crew activity plan and I'm pleased to announce this, so this is the first time we're talking about an OBN and crew activity plan and it just looks really good. You see all the dots are basically being colored in terms of contracts that have already been awarded. And the crews are basically fully utilized as we speak. The ZXPLR crew 1, you see that we moved from the US Gulf of Mexico to Latin America, we're working in Guyana now going to be there for the rest of the year. And I think honestly, we're going to be there for quite some time after that too. The ZXPLR crew 2 is working in the US Gulf of Mexico is working for TGS as we speak, then it's going to move on to do a couple of proprietary jobs. And then I think that crew is going to stay in the US Gulf of Mexico for many years to come. Z700. It's going to Asia, and then it's moving back to North Sea after that. And then you see we have full utilization of the reservoir monitoring source crews both crew 1, 2 and 3 are basically fully utilized. We also have some interesting renewable projects, working on the Greensand project in Denmark, which is the CCS project. So again, can't be much better than this. I think the only problem or concern I have is that we don't get capacity to acquire our own data, which was part of the reason we acquired the company. But it's a good problem to have. And that just shows that this market is extremely promising and the timing of the acquisition again, it couldn't be better. So very pleased about that. Licencing round activity. Again, if you just looked at and focus on the Atlantic margin and the southern part of the Atlantic margin, you see new countries popping up almost every week in terms of plans for licensing rounds. I think the list for Africa has never been longer in the list for Latin America, where you see countries like Barbados, and Trinidad and Uruguay. Coming back on the map. I mean, this is obviously driven by the great exploration success we've seen in areas such as Guyana, Namibia, Suriname, and you name it, I mean, that drives a lot of exploration activity going forward, having the leading data library in the industry, of course, we capitalize on this. And this is a great position to be in. I mean, if you look at the map here, and you look at all the data we have at TGS, partly from the organic investments we've done. Again, as I said, we account for almost 40% of the total investments in seismic over the past five years. We acquired that spectrum in 2019. We really start to see the benefits of that in terms of our position in the South Atlantic, and then the ION data library gave us almost 30% more coverage around the world. So just a really good position to be. And when I look at this map and look at the different licensing rounds that are coming up either in 2023 or 2024, I mean, we basically have data everywhere. So it's just really, really a great pleasure to see the activity picked up as it is right now. Moving to Asia Pacific, you see Australia, which always has been a relatively important region for TGS. But I think more importantly, if you look at India, Indonesia, Malaysia and Bangladesh, these are areas with really, really high population, really high population growth. And these -- some of these countries are importing, you know, as much as 80% to 90% of their energy needs, with the record high energy prices. So there's a great push now to do more exploration in some of these countries. And again, TGS is well positioned. And we also have plans to improve our position going forward. So a very positive slide in terms of predicting future activity, both in terms of new investments, but also late sales for TGS in 2023, in the years to come after that. So again, the guidance we talked about this earlier in the presentation, but we are very confident about our multi-client investments and the growth that we see in the markets. We're guiding now a range of between $300 million and $350 million. That's obviously significantly up from what we invested in 2021 or 2022. But more importantly, we already have about $200 million, so slightly more than $200 million committed currently. And if you look at the funding of the early sales rate and what has been committed, it makes us extremely confident in terms of guiding and overall early sales rate of above 70% for 2023. So, again, as we mentioned earlier in the presentation, most of that has already been secured. You can look at the 70% more like a minimum number in terms of what the funding is going to be in 2023. Dividend as Sven discussed this is going to be $0.14 per share, despite the fact that we increase our investments significantly. So, we keep our dividend unchanged. And then we will come back and provide further detail on the financial outlook at the Capital Markets Day on 7th of March in 2023. And if we move to that, we're going to have a keynote speaker, his name is Dr. Scott Tinker, He's a professor at the University of Texas. He is probably one of the world's most widely known speakers in the area of energy and environment and the dual challenge that we're faced with today. So, I really encourage you to come and listen to Scott Tinker and obviously listening to the Executives of TGS is going to go through market outlook. We're going to talk about the financial outlook, of course, status of the Magseis integration, some of the strategic priorities going forward. And of course, it gives you a chance to meet the Executives of TGS. And potentially get a drink as well when we finish this session around 4 P.M. on the 7th of March 2023. So, with that, I just want to summaries the presentation. Again, a significant market improvements, best Q4 late sales since 2014, continuous improvement in order inflow, very strong backlog of about $451 million from POC, but about $100 million higher if you account for the IFRS. Robust balance sheet, we have a cash balance of about $189 million, that's after significant M&A activity. That was at the end of the year. After that, we paid out another bout $50 million related to the M&A transaction of Magseis. But as you can expect, the cash flow is also really good in terms of inflow. So, our cash balance today is about $200 million, despite the fact that we paid out another $50 million. Low interest bearing debt and a strong working capital position from end of year sales, which again means that Q1 cash flow as always, we'll get really strong. Industry leading OBM position, healthy backlog. One new project announced this morning, one announced last week, promising pipeline and lack of support and supply that market is definitely getting very tight as we speak. And as I said, TGS really has problems to get access to that capacity, which was the main reason why we acquired the company in the first place. But again, a great problem to have. MC investments are now back to pre-COVID levels, we expect them range of $320 million to $350 million, and feel very good about that guidance, feel that we have already secured more than $200 million at record high prefunding in that regard. So, high visibility and high prefunding levels. Great quarter and thank you very much for your attention. And we'll open up for your questions. Thank you.
A - Sven Børre Larsen: Yes, so this system will allow you to post questions on mine. We have already got some questions. So, I'll start reading them up. First question is from [indiscernible]. What level of shipwright increases have you assumed when calculating your investment guidance?
Kristian Johansen: Yes, I mean, a lot of this has already been secured. And we have some long-term agreements with -- we have one long-term contract with PXG that we entered into a couple of years ago, and we have another one that we're working on right now that is soon to be released on with a different vendor. And I think we're pretty good and had a good history of working long-term with our partners in that regard. I think on the streamer side, we're probably up 10%-ish year-on-year from 2022. On the OBM side is obviously more because that market is getting really tight. And -- but obviously, we have also the pleasure of using Magseis for some of our internal projects. So overall, we see definitely some inflation, but not nearly as much as some people would expect.
Unidentified Company Representative: Next question is from Mick Pickup at Barclays. Can you tell us what data you will be producing for Magseis performance to help us model?
Kristian Johansen: Yes, we can. So now the only project that TGS’s most declined business is scheduled with Magseis is ongoing amendment to project. And as you can see, there was elimination there are roughly $6 million in Q4. And we expect the elimination, mostly in Q1, but perhaps a little bit in Q4 to be total of around $20 million.
Unidentified Company Representative: And then, if there is a question from John Olaisen[ph]at ABG. With MAXSIZE capacity almost sold out. Are you considering increasing the OBM capacity? And could you elaborate on what is needed in order to increase capacity in terms of CapEx timing, et cetera? Could you comment on OBM contract pricing/direct development, please?
Kristian Johansen: Yeah, I can't be too specific on that. But as I said, I mean, that market is getting really tight. I mean, the good thing about a tighter market is that you have the ability to raise prices. And I think there's a desperate need in that industry to raise prices because they've been too long -- too low for a long period of time. I mean, nobody's making money historic in that business. I think for us, first of all, we need to make sure that we continue to tighten the market we need to continue to see longer term contracts. We need to see that when we put a cruise somewhere in the world, we need to keep it there for long periods of time rather than traveling back and froth in [indiscernible]. So in that regard, I think, that's going to be a key priority going forward is to really close the gaps that we've seen historically in Magseis portfolio. I think the market is really helping us to do that. So in that regard, I feel very confident that we need to see higher margins, of course. We need to see higher pricing overall. So I think that's going to be the key priority. If it gets so tight, that we're not in a position to fulfil our multi clients plans, we need to have a plan B for that. But again, first of all, the focus for TGS now is to increase the profitability really making that a money making business and of course, all the pieces should be in place to do that. So I think that's probably as far as I want to go in terms of talking about pricing and our plans going forward.
Unidentified Company Representative: Then there is a question from Jorgen Lande, Danske. Good morning, you expressed that getting access to OBM capacity is under pressure. And if market demand is increasing further, you could potentially be limited on your multi-client investment plans. Have this realization triggered any new perspectives on new vessel capacity from your side? Thank you.
Kristian Johansen: Yeah, we probably see, as I said, on the streamer side, we feel like we are pretty well equipped in terms of capacity going forward. We are constantly working with our vendors to make sure that we can fulfil our investment plans. So not too concerned about that. I think on the OBM side, again, I refer to what I say -- I said at the previous question we are constantly working with, you know, how do we number one make Magseis a profitable business? And then number two, you know how we're going to play this market going forward in terms of, of capacity. And it's all that game between capacity utilization and prices? Of course.
Unidentified Company Representative: Then there is a question from Christopher Møllerløkken. Based on the guidance you gave on OpEx, it seems that you are planning for Magseis to deliver an EBITA margin of close to 30% far above what the company has achieved, historically, what is driving this improvement?
Kristian Johansen: I can answer that first of all, of course, we are quite optimistic that the profitability Magseis as part of TGS will increase significantly. That's not to say that EBITDA margin will be 30%. What you should be aware of is that the categorization of the different cost lines is not the same. Now that Magseis is part of the TGS P&L instead of being reported separately as they did. So the categorization is not exactly the same, which means that you may be drawing wrong conclusion when you calculate backwards to 30%, Christopher. But we will provide more detailed information on Magseis as part of TGS in the Capital Markets Day on the 7th of March. Then, Erik Aspen Forså from Carnegie is asking, how much of the 2023 multi-client investments are dedicated to OBN or where will you use Magseis crews? I can answer that. I will -- we are close to one-third of our plants being covered by OBN, but as we have talked about already Magseis is a bit limited on capacity, and for the projects in the North Sea, we have had to use other vendors and then Magseis. So the Magseis portion of that will be lower. And then there is a question from Kevin Roger at Kepler. Number one on the multi-client CapEx guidance, how much will be related to Magseis notes? We have already covered that I guess. Number two, you sign this morning a note contract for about 100 days duration, can you give some color on the financial details of such a contracts? And in general, not necessarily linking it to discontract, but you should for OBN crew you could assume that there is a revenue contribution of depending on the contract type and what costs you're taking on or not taking on, it could be between $10 million to $12 million, $13 million per month. That's a very rough indication of what you could expect that size.
Sven Børre Larsen: Number three, you signed several contracts recently with CGG. Is this -- Is it a signal also for moving forward?
Kristian Johansen: Not necessarily. I mean, I think we partner when the client is better off by us partnering, it always if one party has the permit, and another party has perhaps a vessel, I mean, that should be a good combination where you partner up and you make sure that you get the data delivered to clients sooner rather than later. So I think we would always look at this in terms of, how can we maximize the efficiency of the project? And I think a couple of the CGG partnerships are related to joint ownership of underlying data. And if you have the underlying data together, then I think it's usually makes sense that you overshoot that in the partnership rather than starting to fight about that. So I think there's probably a higher degree of partnerships overall in our industry, but I, usually we would like to do things ourselves if we can.
Sven Børre Larsen: Then there is a question from Stephen DNB [ph]. You had a significant working capital build in 2022? to what extent do you expect this to reverse in 2023 in light of higher investments, and likely growing revenues? On the working capital element is obviously it has to do partially, of course, with the M&A activity that we've gone through and the inclusion of microsites, and also due to the fact that you had a very strong Q4, with a lot of the late sales being closed in December of 2022, which means that we will obviously build up a fair receivable and an accrued revenue balance there. And of course, when investments are growing, you will normally see that, that our payables balances is growing. In 2023, the investments will be fairly front end loaded. So we expect that Q4 the way we see it now, Q4 will be the lowest in terms of investments, and that may have some bearing on the payables level that we that we have in our balance sheet towards the end of 2023. Then there is a question from also [indiscernible] organic multi-client late sales was upon run 23% in 2022 versus 2021. When exploration spending up 20% and seismic market up more than 30% what growth should we expect in multi-client late sales for TGS in 2023, when expiration spending expected are 15% to 20%.
KristianJohansen: Yeah. We don't give any guidance on late sales and late sales, it's always kind of hard to predict. I think 2022 was a bit extraordinary in terms of obviously there was a big transfer fee in Q2. We probably didn't expect that to be as big for the industry as it was and neither do we have great visibility or transfer fees in 2023. So I mean, there are still things that could surprise positively in terms of M&A activity among our clients. So it's hard to predict. I mean, our goal is usually that we should be at the market growth at least. And then you probably need to adjust a little bit for some of these one-offs in 2022. But it's hard to say. And that's probably the reason why we don't want to guide specifically on that. On the EP side or the pre-funding side, and the early participants, as we call it, I think we feel very confident that that number is really going to drive revenues for 2023, partly because of increased investments, but also because of great interest from our clients on some of these new investments where you see that We guided a pre-sales ratio of about 70%. But as I said, it's should be seen as a minimum, I mean that number to get significantly higher than that. And in that regard, we feel very confident about that part of the equation.
Sven Børre Larsen: Then there is another question from Mick Pickup at Barclays. New energy activity got limited exposure in this presentation. Can you talk to the outlook for 2022? And how you feel about that business? How you feel that business is progressing?
Kristian Johansen: Yes, I think our strategy remains firm. We came out in 2019, with a strategy plan where this was part of our plan to build the business, the data business also for renewables. We've seen obviously, a TGS has already taken a great position in offshore wind, where we have good brand recognition already. We're one of the few players who actually make money and make a profit in renewables or in offshore wind. We see the CCS market is obviously picking up and as you know, TGS has all the data and ingredients needed to serve that markets now with 40 capacity from Magseis and obviously an existing library for CCS usage. So I think we will definitely come back and talk more about that in our Capital Markets Day on March 7. But I think nothing has changed from our side. We're still very committed to the renewable industry and in fact when we look back on what we communicated in 2019 and 2021 and what we are going to communicate in the Capital Markets Day in 2023 nothing has really changed. This is part of a long-term plan. And we are developing according to that plan. And you see from the numbers to that we're doing pretty well.
Sven Børre Larsen: Yes, that seems to be it in terms of questions.
Kristian Johansen: All right. Thank you very much. And thanks for your attention. And we welcome you back to our Capital Markets Day on the March 7. And I’m very excited to see you there, and share our plans about not only 2023, but also about longer-term plans of TGS. So thank you very much.